Operator: Good afternoon, and welcome to the Smith Micro Software Fourth Quarter and Fiscal Year 2021 Earnings Conference Call. All participants will be in a listen-only mode. [Operator Instructions]. After today’s presentation, there will be an opportunity to ask questions. [Operator Instructions]. Please note this event is being recorded. I would now like to turn the conference over to Charles Messman. Please go ahead.
Charles Messman: Thank you, operator, and good afternoon, everyone. We appreciate you joining us today to discuss Smith Micro Software financial results for the fourth quarter and year end December 31, 2021. By now, you should have received a copy of the press release with the financial results. If you do not have a copy and would like one, please visit the Investor Relations section of our Web site at www.smithmicro.com. On today's call, we have Bill Smith, Chairman of the Board, President, and Chief Executive Officer of Smith Micro; and James Kempton, Chief Financial Officer. Please note that some of the information you will hear today during our discussion consist of forward-looking statements, including, without limitations, those regarding the company's future revenue and profitability, our future plans, new product development, new and expanded market opportunities, future product deployment, migration, and/or growth by new and existing customers, operating expense, company cash reserves, and the expected impact of last year's acquisition of Avast's Family Safety Mobile Business and our business strategy, operations, and financial positions going forward. Forward-looking statements involve risks and uncertainties, which could cause actual results or trends to differ materially from those expressed or implied by forward-looking statements. For more information, please refer to the risk factors included in our most recently filed Form 10-K and the final prospectus filed with respect to our public offering last year. Smith Micro assumes no obligation to update any forward-looking statements, which speak to our management's beliefs and assumptions only as of the date they are made. I'd like to point out that in the forthcoming prepared remarks, we will refer to certain non-GAAP financial measures. Please refer to our press release disseminated earlier today for a reconciliation of these non-GAAP financial measures. With that said, I'll turn the call over to Bill. Bill?
Bill Smith: Thanks, Charlie. Good afternoon to everyone and thank you for joining us today for our 2021 fourth quarter and year-end earnings conference call. To start, I sincerely hope that everyone on this call today is doing well given the unique challenges we have all faced over the past couple of years and now exacerbated by the conflict in Ukraine. Despite all that we've been challenged with, much was accomplished at Smith Micro during 2021, and I'm looking forward to discussing our progress with you this afternoon. This past year, as we stated before, was a truly transformational year for Smith Micro. We accomplished several strategic initiatives that have positioned us very well for success in 2022 and beyond. We enhanced the functionality of SafePath by successfully integrating Circle's code base into our platform, a huge accomplishment for our team that has resulted in us having the most comprehensive Family Safety offering on the market for wireless carriers.  In addition, last spring, we acquired our largest competitor in the white label Family Safety space, with the acquisition of Avast's Family Safety Mobile business. This was the largest acquisition in Smith Micro's history. Not only did it add several Tier 1 carrier customers to our global Family Safety client base, it also brought more than 150 highly experienced professionals to our company.  We are clearly now the leader in the white label Family Safety space, with a dedicated and experienced team focused on executing our growth strategies and advancing our SafePath platform. With contracts in place with multiple carriers, we expect our historical customer concentration issues are behind us. I couldn't be happier with the growth potential we have in front of us.  Before looking back at our financial results for 2021, I must share just how proud I am of the Smith Micro's teams' preparation for the launch of SafePath 7 at T-Mobile, which should occur in the next few weeks, with the apps already having been submitted and approved by the Google Play and Apple App Stores.  As we have completed all of the requirements under the T-Mobile contract for the migration, we are now able to recognize the revenue from that contract under the new variable pricing model, which is more in line with our traditional SaaS model that I spoke of on the last call. The launch at T-Mobile will mark the first carrier deployment of SafePath 7 into the market and will set the stage for future deployments of the platform with our other Tier 1 customers in the U.S. and Europe.  Now that we've completed migration activities related to the T-Mobile launch, we are well positioned to migrate both Verizon and AT&T over to the SafePath platform, which is one of our key initiatives for 2022. In fact, we've seen an increase in urgency from our carrier customers to accelerate the migration efforts so they can offer a broader, more lucrative Family Safety offering to their respective customer bases.  We continue to work very closely with our partners on the best strategy and timing behind these migration efforts, while also building momentum on the subscriber growth front. I believe this dual pronged approach positions us strongly to drive revenue growth as 2022 progresses.  Now let's take a quick look at the financial results for the fourth quarter and full year of 2021. For our 2021 fiscal year, total revenues increased 13.9% to $58.4 million compared to 51.3 million reported in fiscal year 2020. For the fourth quarter of 2021, revenue increased 18.2% to $14.7 million when compared to the $12.4 million generated in the fourth quarter of 2020.  Non-GAAP net loss for our 2021 fiscal year was $2.1 million or $0.04 per diluted share. And for the fourth quarter, non-GAAP net loss was $2.3 million or $0.04 per diluted share. We ended the year with a cash balance of $16.1 million.  Overall, revenue for the quarter came in slightly below expectations communicated on our last earnings call. As Jim will review in more detail shortly, the decline in revenues is primarily related to the reduction in subscribers of the legacy CommSuite deployment at Sprint, which accelerated more quickly than expected during the fourth quarter. We've known for quite some time that revenues associated with this legacy visual voicemail deployment would decline once T-Mobile completed the migration of acquired Sprint customers onto its own network. While the end of the revenue stream is in sight, we are focused on other growth areas.  We recently signed a contract with Dish Wireless for CommSuite that represents a healthy growth potential for our CommSuite product line, as they work to deploy their network. We can now turn the attention of our CommSuite teams to supporting our new customer and deploying a premium voice messaging solution that generates sustainable recurring revenue for both Smith Micro and Dish.  Now let's turn the call over to Jim for a more in-depth analysis of the 2021 financial results. Jim? 
James Kempton: Thanks, Bill, and good afternoon, everyone. As a reminder, we acquired the Avast's Family Safety Mobile business in the second quarter of 2021, which impacts the period-over-period comparisons that I'll be covering today. As such, I'll be highlighting the sequential changes as well to provide some additional context on our quarterly results. With that, let me cover the financial details of the fourth quarter and fiscal year 2021. For the fourth quarter, we posted revenue of 14.7 million compared to 12.4 million for the same quarter last year, an increase of 18% as a result of the Avast's Family Safety acquisition. When compared to the third quarter this year, revenue was down approximately 11% driven primarily by decreases in revenues associated with our CommSuite product line. For the fiscal year, revenue was 58.4 million compared to 51.3 million last year, an increase of 14%. The increase in revenues compared to last year was as a result of the Family Safety growth related to the business we acquired from Avast, partially offset by the decline in CommSuite revenue.  During the fourth quarter of 2021, Family Safety revenue increased 90% to 11.6 million compared to the fourth quarter of last year as a result of the additional Family Safety customers acquired through our acquisition from Avast. Family Safety revenues decreased 3% sequentially compared to the third quarter of this year.  The primary reasons for this sequential decrease in Family Safety revenue was related to the legacy Avast Sprint Family Locator product being discontinued in October, and the continued reduction of the legacy Safe & Found platform revenue related to declining Sprint subscribers. For fiscal year 2021, Family Safety revenue increased 46% to 41 million in 2021 from 28 million in 2020.  We remain excited about opportunities to grow the subscriber bases in all three of our U.S. Tier 1 carrier customers in the coming quarters, but we expect that the growth will be aligned with the timing of several marketing initiatives undertaken by the carrier partners.  We are encouraged by the upcoming launch of T-Mobile on the SafePath platform and the recent conversion of the new pricing under this contract to a variable pricing model. We believe that this change in fee structure, in conjunction with the anticipated marketing efforts to add subscribers, should drive revenue increases on the FamilyMode offering in the coming quarters.  During the fourth quarter of 2021, CommSuite revenues were 2.2 million, which declined 2.6 million compared to the 4.8 million in revenue produced in the fourth quarter of last year. Revenue from CommSuite decreased 37% sequentially compared to the third quarter of this year due to the continued attrition of the legacy visual voicemail subscribers leaving the platform during the quarter.  The decline in legacy Sprint subscribers is driven by those subscribers having the option to move from Sprint to the T-Mobile network for voice services. As more and more subscribers transition off the Sprint network, CommSuite revenues will continue to decline. For fiscal year 2021, CommSuite revenues decreased 25% from 18.2 million in 2020 to 13.7 million in 2021. We continue to navigate the T-Mobile-Sprint merger as subscribes now have an option to move from Sprint to T-Mobile network for voice services. As these subscribers transition from the Sprint network, we expect a natural decrease in Sprint-CommSuite subscribers to continue.  As we have stated in the past, the decline in revenues is very difficult for us to predict as we do not have visibility to when a customer switches over to a new SIM on the T-Mobile network. As a reminder, Boost, formerly owned by Sprint, is now part of Dish and comprised slightly over half of our CommSuite revenue in the fourth quarter.  As Bill had mentioned, with the contract that we executed with Dish subsequent to year end, we are expanding our relationship with Dish on the CommSuite platform with the goal to increase Boost-CommSuite subscribers.  ViewSpot revenue was approximately 800,000 for the fourth quarter of 2021, a decline of approximately 600,000 compared to the fourth quarter of last year and down 13% compared to the third quarter this year. For fiscal year 2021, ViewSpot revenue was 3.6 million versus 4.2 million in 2020.  As a reminder, we separate ViewSpot revenue into two categories, fixed and variable. The fixed portion of the revenue is related to license fees and is generally the recurring component of the revenue. The variable portion of the revenue is related to device and promotional campaigns, which are short bursts of activity, resulting in revenue and the volume is less predictable.  In total, we expect consolidated revenue for the first quarter of 2022 to be lower by approximately 13% to 18% compared to the fourth quarter of 2021. This decline is expected to be driven primarily from the continued attrition of Sprint's subscribers off the CommSuite and the Safe & Found Family Safety platforms.  For the fourth quarter, gross profit was 10.6 million compared to 11 million during the same period last year. Gross margin was 72% for the fourth quarter compared to 89% in the fourth quarter of last year. Our longer term goal for gross margin is to be in the range of 80% to 90%.  To achieve this goal, we will optimize third party applications and service contracts used by the combined business and execute on other cost synergy opportunities upon the migration of our Family Safety carrier customers onto a single Family Safety platform.  In the short term, we expect gross margin to be near this current run rate until we are able to transition all the carriers off of the legacy Avast Ring platform onto our SafePath platform. At that point, we expect to be able to realize synergies that will help to drive our gross margins towards our targeted gross margin. Given the timeline of the migrations, we expect that these synergies will likely not be fully realized until the first quarter of 2023.  For the fiscal year, gross profit was 45.7 million compared to 46.1 million during the same period last year. Gross margin was 78% for 2021 compared to 90% last year. GAAP operating expenses for the fourth quarter were 14.6 million, an increase of 3.6 million or 33% compared to last year. The increase was primarily driven by compensation and employee-related expenses due to our acquisition of the Avast's Family Safety Mobile business.  Non-GAAP operating expenses for the fourth quarter were 13 million compared to 9.5 million in 2020, an increase of 3.5 million or 36% compared to last year. GAAP operating expenses for the fiscal year were 76.7 million versus 42.6 million, an increase of 34.1 million or 80% compared to last year.  The increase in GAAP operating expenses for the year ended December 31, 2021 compared to last year is primarily related to a charge of 12.9 million due to the change in fair value of contingent consideration related to our acquisition from Avast, an increase of 13.2 million for compensation and employee-related expenses primarily related to the acquisition as headcount increased 46% year-over-year, resulting at 373 employees at the end of 2021 compared to 255 at the end of 2020. This increase is inclusive of an increase in stock-based compensation expense of 1.8 million.  We also had an increase in amortization of 5.2 million primarily driven by our acquisition from Avast. Also had an increase in acquisition costs of approximately 750,000 and CFO transition costs of approximately 300,000. And we also had costs related to the acquisition of certain non-development intellectual property of $1 million.  Non-GAAP operating expenses for the fiscal year were 47.9 million versus 35.7 million in 2020, an increase of 12.2 million compared to last year, driven primarily by the increase in compensation and employee-related expenses, principally attributable to our acquisition of the Avast's Family Safety Mobile business.  We expect first quarter 2022 non-GAAP operating expenses to be relatively consistent with the fourth quarter of 2021 as we continue to invest in our development resources to migrate our Family Safety carrier customers to the SafePath platform.  Non-GAAP net loss for the fourth quarter was 2.4 million or $0.04 loss per share compared to a non-GAAP net income of 1.4 million or $0.03 diluted earnings per share last year. The non-GAAP net loss for the fiscal year was 2.2 million or $0.04 loss per share compared to a non-GAAP net income of 10.4 million or $0.24 diluted earnings per share last year.  Within the recently issued press release, we have provided a reconciliation of our non-GAAP metrics, the most comparable GAAP metric. For the fourth quarter, the reconciliation includes the following adjustments. Stock compensation expense of 1.2 million, intangible amortization of 142,000, CFO transition cost of 179,000 and acquisition-related cost of 81,000.  For the year, the reconciliation includes the following adjustments. Stock compensation expense of 4.8 million, intangible amortization of 8.1 million, acquisition cost of 14.5 million including the 12.9 million change in fair value contingent consideration recognizing the third quarter, non-development intellectual property cost of 1 million and CFO transition cost of 322,000.  Due to our cumulative net losses over the past few years, our GAAP tax expense is primarily due to certain state and foreign income taxes. For non-GAAP purposes, we utilized the 0% tax rate for 2021 and 2020. The resulting non-GAAP tax expense reflects the actual income taxes expense during each period.  From a balance sheet perspective, we reported 16.1 million of cash and cash equivalents as of December 31, 2021. As we noted on the last earnings call, we have paid the remaining portions of the earn-out to Avast during the fourth quarter in the amount of 13.6 million, which includes the 12.9 million charge for the changing contingent consideration recognized in operating expenses in the third quarter.  I would also note that the company completed the Avast's Family Safety Mobile business purchase price allocation during the fourth quarter, which resulted in an increase in intangible assets recognized and a decrease in the goodwill balance as compared to the preliminary estimates.  The finalization of the purchase price allocation also resulted in an adjustment to amortization expense for the quarter, resulting in net amortization expense of 142,000. In 2022, we are anticipating amortization expense to be approximately 1.6 million quarterly. This concludes my financial review. Now back to Bill.
Bill Smith: Thanks, Jim. As I previously mentioned, I believe the upcoming launch of SafePath 7 at T-Mobile will be a major achievement that will set the stage for driving increased revenue growth at this key customer. It will also provide a blueprint for successful deployments of the SafePath 7 platform at both Verizon and AT&T.  The hard won [ph] experience we gained during the T-Mobile project will help us accelerate SafePath migration efforts at the other two carriers, which is a very high priority for our company this year. I am truly excited about the growth plan we have in place for T-Mobile as well as the exciting opportunities we have ahead for us at this carrier.  We are looking forward to growing the FamilyMode subscriber base, while we work with T-Mobile on the strategy to unify all of its Family Safety apps onto a single platform. We have a fantastic team in place that is working collaboratively with T-Mobile to execute on these strategic initiatives, which I am confident will result in driving revenue growth for both Smith Micro and T-Mobile.  Turning our attention to Verizon. We've made some great progress since we last spoke in November, not only with the migration efforts but also on the relationship building front. We continue to branch out within the Verizon ecosystem with a goal of finding new ways to collaborate with the carrier.  In fact, just recently, the carrier rolled out the first marketing campaign to promote Verizon Smart Family in its corporate owned retail stores across the country. We worked closely with Verizon to develop the product marketing assets for this campaign. I believe this is just the first step in utilizing extensive new retail marketing efforts, which have already proven to be effective in growing the subscriber base and profitability of carrier provided Family Safety services.  Increasingly, this initiative is also quite strategic for Smith Micro as Verizon is also leveraging our ViewSpot platform to deliver the Smart Family promotional content across its footprint of retail stores. This multi-product collaboration not only helps train Verizon retail associates and builds awareness of Smart Family, it also expands our reach throughout the carrier's internal organization. I believe this approach is critical to our overall growth strategy at Verizon.  As part of our multi-channel marketing efforts with Verizon, we continue to optimize the Smart Family digital advertising campaigns through increased targeting and user-based segmentation. This enables us to serve specific messaging and ad creative to different subsets of Verizon subscriber base. For example, we are targeting Smart Family basic subscribers to promote the premium and tier of the service as the Smart Family premium includes several additional features, such as family location services and driver safety monitoring. This digital marketing strategy illustrates that we're using all channels and tactics at our disposal to grow revenue at Verizon.  Overall, our main Verizon-related priorities during 2022 will be to grow revenues while successfully migrating the carrier Smart Family service to our SafePath platform. We are laser focused on both initiatives, and I am very confident that our current plan will result in a successful migration as well as increased ROI for this cornerstone account.  As I mentioned earlier, T-Mobile's launch on SafePath 7 provides us with a migration blueprint to follow Verizon as well as AT&T. AT&T is eager to roll out a new Family Safety service based on SafePath because of the significant enhanced feature set and in-app notification functionality this migration will unlock. Retaining AT&T as a Family Safety customer was one of the company's major successes last year, as the carrier had every intention of winding down at service prior to our acquisition of the Avast's Family Safety business. Because of the efforts of our team and selling the SafePath vision, however, digital Family Safety is now a renewed focus for this Tier 1 customer.  I am very pleased with the progress we have made up to this point with AT&T. The carrier has been extremely receptive to our ideas and is committed to grow in the number of subscribers of Secure Family.  To help the carrier grow Secure Family subscriptions in the short term, we are developing a multi-channel strategy that would consist of targeted digital advertising campaigns, stiff incentive programs for both retail and support representatives, as well as a large awareness campaign to spread the word about Secure Family within the AT&T employee base.  The tremendous support we've received from the carrier up to this point, coupled with the exponential growth potential of the relatively small Secure Family's subscriber base, is just the tip of the iceberg at AT&T. The upside potential for this account is truly immense for Smith Micro.  Okay, let's move on to our smart retail platform ViewSpot. We have continued to improve the platform with a key goal of broadening the total addressable market and utility of ViewSpot within the dynamic retail space.  As I discussed during our last earnings call, these features are focused on enhancing ViewSpot's functionality in creating, deploying and managing the digital content assets that comprise the in-store promotions that play on demo devices.  Since our last call, we were able to extend contracts with two of our key ViewSpot customers, Verizon and Cricket. Both new contracts include our ViewSpot Studio feature, which provides enhanced content management capability for our customers. This feature should also decrease our costs associated with this product over time, allowing for decreased operating expenses relating to ViewSpot.  We are also continuing to explore strategic partnerships with established retail technology vendors to extend ViewSpot's footprint and functionality. Since we last spoke, two more successful ViewSpot trials have been completed in Europe, which bodes well for future product line growth.  Now let's talk a bit about our voice messaging platform CommSuite, a product that continues to bring value to Smith Micro. Even though revenue is associated with the legacy visual voicemail deployment at Sprint winding down, we were positioned well to launch CommSuite powered premium visual voicemail and voice-detect services at Dish Wireless later this year.  We look forward to leveraging our experience and success with Boost Mobile, the carrier's prepaid brand, to build a successful and profitable partnership with America's newest Tier 1 carrier and to extend the life of the CommSuite platform. Looking ahead, I believe we have the strongest foundation on which to build our future success that I can remember in the 40-year history Smith Micro, and that truly excites me.  I believe that 2022 will be a transitional year, particularly in the first half, while we work with our Tier 1 carrier partners to get their respective Family Safety deployments migrated to our SafePath platform. It is our priority to get these migrations done as soon as possible to eliminate the extra costs of running concurrent platforms and to position our carrier customers to take advantage of the other benefits SafePath has to offer. As I've spoken about many times, our vision for the family digital lifestyle extends far beyond mobile apps to the connected devices that comprise our digital lifestyles, including consumer IoT devices and in-home connected devices. Getting all of our customers up and running on SafePath unlocks this vision for Smith Micro.  Growing consumer adoption of the IoT and Smart Home technologies paired with a market trend towards carrier provided home Internet connectivity based on 5G networks is creating fresh demand for single pane of glass solutions that address multiple Family Safety challenges simultaneously.  Based on these market conditions, I look for carrier deployments of both SafePath Home and SafePath IoT to activate new revenue streams for us soon. I am confident that the migration plans we have in place at both AT&T and Verizon provide us with a clear path to moving both carriers over the finish line and on to SafePath this year.  We will continue to build the momentum and grow revenues as we strive to return gross margins to be in the range of 80% to 90%. This will result in the business generating significant free cash flow. We have the right team in place to achieve these goals, and I am very excited about Smith Micro's short and long-term profile.  With that said, I will open the call to questions. Operator?
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions]. And the first question will come from Josh Nichols with B. Riley. Please go ahead.
Josh Nichols: Yes. Thanks for taking my questions. Glad to hear an update on the timing. It seems like the apps have already been approved for Google and Apple. Is there anything else that needs to be done or major items before the anticipated launch with T-Mobile? And then can you elaborate a little bit on any type of specific marketing plans this company has in place and how long it will take for that business to start generating material customer subs?
Bill Smith: Yes, Josh. Look, I think at the present time, everything's well set up and ready for the launch. So I don't anticipate any other issues. As far as the marketing programs that T-Mobile will use, I think I'd rather leave that to them to talk about, because that's really more of how they want to go to market. So I'm going to have to kind of duck that question.
Josh Nichols: Fair enough. And then just because you talked about it a little bit, the AT&T, right, so a customer that was thought to be leaving the platform and now coming back on. You paid earn-outs, so I know that you must have pretty high expectations for what this carrier is going to be doing. What are you kind of assuming that -- what's built into the model for AT&T now? And based on your discussions, what's the opportunity to grow that business off the relatively low bases is today?
Bill Smith: Yes. We believe that AT&T like T-Mobile and Verizon can have a very similar number of subs over time, and we believe that we have an excellent relationship there. And that they are very excited about what Family Safety could bring them. As we've talked in the past, family subs are some of the most treasured subs that a carrier can catch and attract. They churn less. They tend to be much more loyal. And as such, I think that when all is said and done, we'll see similar -- get user bases at all three carriers as far as the number of subs.
Josh Nichols: Thanks. And then last question for me, just drilling in for the guidance for the first quarter. Understand CommSuite's can be down, but just looking if you can provide a little bit color on the Family Safety business? I assume that's going to be down 5% to 10% sequentially. Is that driven by some churn as legacy customers from Sprint migrate over or what's the expectation that you're thinking of for the Family Safety business?
Bill Smith: We are expecting the Family Safety business to be down. A couple of reasons for that. One, we do expect the continued attrition related to the Safe & Found platform as those legacy Sprint subscribers transition off. The other thing I would mention and we touched on this last quarter, but there was a pickup in Q4 that was a one-time related to the execution of the T-Mobile amendment and that would be non-recurring as we go into Q1.
Josh Nichols: Got it. Thanks.
Operator: Thank you. And the next question will come from Scott Searle with ROTH Capital. Please go ahead.
Scott Searle: Hi. Good afternoon. Thanks for taking my questions. Guys, just a quick clarification looking into the guidance for the first quarter. In terms of that range of 12.7 million, is that assuming basically that there is no contribution for T-Mobile from CommSuite? And is almost all of T-Mobile SafePath out of the numbers at that point in time?
Bill Smith: There's a modest, very modest amount of T-Mobile-CommSuite revenue baked into that. Obviously, there's some variability to that, but it's again very modest amount we have baked into the Q1 estimate.
Scott Searle: Okay, helpful. And just to follow up, in terms of the Verizon commentary around Smart Family, are those new additions in the marketing campaign built around the SafePath 7.0 or is that still adding to legacy Location Labs platform?
Charles Messman: Hi, Scott. It's Charlie. That is actually for the legacy. Our intent is to grow through the transition. So we'll put it out to answer the question.
Scott Searle: Okay. And also on the Dish front, it sounds like you're starting to develop a stronger relationship with their, I think a big chunk of the existing CommSuite revenue with Boost. But how would you expect Dish to transition over the course of this year? Will that be growing on a sequential basis throughout 2022?
Charles Messman: We have a very modest amount of growth built into the Dish Boost side of the CommSuite. I would leave it at that.
Scott Searle: Okay.
Bill Smith: Yes, I would say when you look at Dish, they have -- the Boost business they have, their MVNO business that's running on T-Mobile. They've announced that they will also have MVNO relationship with AT&T. And, of course, they've got the rollout of 5G on their own network. All of this is a major undertaking. And it's kind of hard for us to give you a whole lot of help on that, because there's so many moving parts to what they're working on.
Scott Searle: Okay. And lastly, if I could, there's been a lot of talk out of both Verizon and T-Mobile as it relates to their 5G fixed wireless access initiatives. You guys I think had referenced some of that in the past as an opportunity for you to be integrated into the router or other extension in terms of home opportunities for you guys. So I'm wondering what the latest thoughts are on that front? And maybe if you could kind of wrap up some IoT comments around that as well? Thanks.
Bill Smith: Yes, I would say this. I would say that the first step is to be very focused on getting them launched on SafePath. Once they're launched on SafePath, yes, I think you'll see a lot of interest around the SafePath Home opportunity of putting the firmware in the 5G routers. And I think that goes for a number of carriers that we're talking with. From an IoT standpoint, there's a lot of interest there. And again, all these things kick in once they're on SafePath. So that's the main driver to get everybody over, to get everybody off of the legacy Avast Ring service offering. And that's what it's all about. This is a very focused execution year.
Scott Searle: Great. Thanks.
Operator: And the next question comes from Eric Martinuzzi with Lake Street. Please go ahead.
Eric Martinuzzi: Yes. I was scribbling as fast as I could, but I didn't quite get your comment regarding the migration versus launch on T-Mobile. Obviously, we got the contract signed in mid Q4. It sounds like the technology has been bulletproof tested. And is it all in their hands or is there anything left for you guys to do as far as getting that program going?
Bill Smith: The only thing left for us to do is to fully support them as they hit the launch button. So yes, we're ready. We're excited.
James Kempton: Eric, I would add. As we noted on the call, we have done everything that we needed to, to transition to the new variable pricing model in terms of the delivery objectives that we needed to make. So we've delivered everything we needed to, associated with the migration from that perspective.
Eric Martinuzzi: Okay. And then when I just kind of rushed through the P&L based on your guidance for Q1 here, roughly 12.5 million, a 72% gross margin, 13 million of OpEx, we're looking at about a $4 million negative operating margin here. Is my math correct, first of all? And then do we have any issue here with getting a little bit tight on the working capital to support these three major carrier rollouts?
James Kempton: Your math is directionally correct. And we are not anticipating any issues from delivering on these rollouts.
Eric Martinuzzi: Okay. Is it safe to say that Q1, you would expect to be the biggest -- let me ask the question? Where do we reach maximum burn here in 2022, what quarter?
James Kempton: We're projecting right now that would be Q1, although we're not expecting a substantial uplift in Q2.
Eric Martinuzzi: Okay, that's helpful. And lastly, Bill, you talked about critical lessons learned in 2021. What are an example -- one or two examples of those critical lessons learned?
Bill Smith: I guess I think it's just very difficult sometimes to forecast and set schedules with Tier 1 carriers. It's a lesson I think I've had a lot of years now to learn. And it just got reinforced. But this is where having great relationships at the executive levels help. Because then you're able to kind of smooth out some of the bumps on the road. So we just have to stay focused. We have to keep our heads down. And we have to execute. And our entire team understands that. They are totally tied to it. And I think that's really the way to view it.
Eric Martinuzzi: Okay. Thanks for taking my questions.
Bill Smith: Thanks, Eric.
Operator: And the next question will come from Jim McIlree with Dawson James. Please go ahead.
Jim McIlree: Thank you. Good afternoon. For the domestic carriers, would you expect all of them to have all of their subscribers on SafePath 7 by the end of this year?
Bill Smith: That would be our fond hope. I can't guarantee you that because that's in their hands though, Jim. So they get the final vote. But I would definitely be looking to have all three of them moved over and have all their subscribers moved over as well.
Jim McIlree: And is there something you can do or would do in order to incentivize them to go quicker, or it's completely in their -- at their discretion and you're just going to have to accept what their decision is?
Bill Smith: Look, I don't view us as a victim here. I view us as a helpful partner, but we have to understand that we're dealing with very large corporate entities that have a lot of their own rules and they like to make their own decisions. We know how to play the game and we will work with them and hopefully be able to get all of their bases over to SafePath before the end of the year.
Jim McIlree: And is there any human or technological capacity issues that you have that would prevent you from moving all of them over on the exact same day or is that not an issue?
Bill Smith: That's not an issue.
Jim McIlree: Okay. And then you mentioned some international initiatives. Is that something that is likely to happen this year, customer announcements this year or is this year going to be mostly focused on the domestic market? And then as that migration takes place, then you can start focusing internationally.
Bill Smith: We talked about that when I was talking about ViewSpot. And there's a good likelihood that we could see some new customers added that we will be able to talk about during 2022. But as you recognize, clearly the revenue coming from ViewSpot is smaller than the revenue coming from Family Safety. So it doesn't have the same impact or effect. I will say, however, that we will be working diligently to move both Wind Tre and as well as Vodafone Check, both customers that came to us through the Avast transaction that we will be working with them to get them moved over to SafePath as well. That movement to SafePath might be early first quarter, but all the work will be done by the end of the year.
Jim McIlree: All right, very good. Thank you. That's it for me. And thanks for the answers.
Bill Smith: Sure.
Operator: Thank you. And ladies and gentlemen, this concludes our question-and-answer session. I would like to turn the conference back over to Charles Messman for any closing remarks.
Charles Messman: I want to thank everybody for joining us today. We look forward to updating you in the future. If you have any questions, please feel free to reach out to us directly. Thanks. Have a great day.
Operator: Thank you. The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.